Operator: Good day, and welcome to the Sartorius and Sartorius Stedim Biotech Conference Call on the Nine Months 2021 Results. Today's conference is being recorded. At this time, I would like to turn the conference over to Dr. Joachim Kreuzburg, CEO. Please go ahead.
Joachim Kreuzburg: Thank you very much. And good day, everybody. Welcome to our conference call on our nine months results for 2021 for both the Sartorius Group as well as for the Sartorius Stedim Biotech Group. We would like to kick it off by walking you though the Sartorius AG, Sartorius Group's numbers first and then directly after that through the results for Sartorius Stedim Biotech. And then we open the line for Q&A. Before I hand over to Rainer, our CFO, I would like to just highlight the most important result of the first nine months in 2021. Both divisions continue to have very -- and to show a very dynamic double-digit growth in both order intake as well sales revenue. Pretty much as expected, I would say, in Q3 then in particular as well. Over proportional increase in earnings. You will see the numbers in detail in a minute.  What is important for us to line out and to underline, and Rainer will lay that out in more detail also later on is that we have seen strong core growth; that means organic growth non-related to the pandemic in both divisions. On top of that then of course, we have seen significant momentum from pandemic-related demand as well as a positive development of the acquisitions that we have closed during the last 12 months or so, one and half years actually. We also have closed a small acquisition during the last couple of weeks. And that has been the one of -- the company Xell from Germany. It's a specialist for cell culture media, very much focused and specialized on those 4 advanced therapies as well as vaccines. One slide on that later on in the presentation as well. And we confirm the forecast for the full year of 2021, which we have raised substantially 3 months ago. And with that, I would like to hand over to Rainer.
Rainer Lehmann: Thanks, Joachim. And also welcome, everybody, from my side. So let's have a look at 9-month figures. It's pretty much a continuation of H1. Sales revenues rose to €2.53 billion in constant currencies. That's an increase of 54%. Out of those, 6 percentage points are actually attributed to acquisitions, 21 percentage points we attributed to the pandemic to the corona pandemic effect and 27% is really the strong core growth that Joachim just pointed out overall for the group. Order intake rose to €3.29 billion, increase of 72% in constant currencies. Here, the corona impact we attributed to around about 20 percentage points. Of course, the phenomenal sales performance actually translated to a very strong underlying EBITDA amounted to €866.4 million over proportional increase of 77.3%, which then translates into an EBITDA margin of 34.3%, an increase of 5.2 percentage points compared to previous year. Driven, of course, the increase here of the economies of scale and still a lower than normal cost base. I'm actually going to talk about that when we dive into the divisional EBITDA numbers and give a bit more color to that development. When we're looking at the geographical split of the sales revenue. We really see across all 3 regions a very solid performance plus/minus around 50%. Let's start on the left hand slide with the Americas. Revenues amounted to €825 million, increase of almost 50% compared to previous year 9 months, really solid performance here on the bioprocess side. And on the LPS side, also solid performance in both segments, LE and Bioanalytics. But of course, here also, let's keep in mind that last year, we acquired the Life Science assets from Danaher, so this had an over proportionate impact on the LPS side and fuel their development in the Americas. In EMEA, revenue amounted to €1.04 billion, an increase of almost 55%. BPS here, of course still a tailwind from the vaccine manufacturers. But also on the LPS side, specifically in both segments, LES by the way strong organic growth. Asia-Pacific, also very nice performance compared to previous year, €663 million, almost an increase of 58.5%. LPS though, let's keep in mind, had a tougher comparable last year. And we see here a very good recovery in both segments as well, and BPS continues to be on a strong growth path. On the regional distribution, really compared to the previous quarter no significant change. EMEA still the strongest region was 41% followed by the Americas, was 33% and Asia-Pacific rounds it up with 26%. If we look now a little bit closer on the BPS development, it's a great picture overall. Let me start the left-hand side with the order intake, which rose by 81.5 percentage points, almost to €2.7 billion. Therefore of that actually, 8 percentage points are from acquisitions. The corona impact here we attribute to be 24%, which really leaves the rest as a strong core organic business of 50%.  Of course, here, let's keep in mind that these are not market growth rates. So we attribute that development to still continue change in order patterning from some of our customers. On the sales side, in the middle of the slide we see the development of sales revenue. BPS almost scratched the €2 billion figure with €1.99 billion, an increase of almost 58% in constant currency. Acquisitions only factored in a minor point, around 5 percentage points to corona effect roughly 25% and the organic. So therefore, really the strong core performance at 28%. I want to continue to point out of course, the spread between order intake and sales revenue. This is really as of now €750 million. So really is a strong order book that we still have. But the big book-to-bill ratio actually also slightly on a decreasing way.  The strong performance. On the sales revenue, as I pointed out on a group level of course, specifically driven by the bioprocessing side. We have here an increase of our margin from 31.9% last year to 36.5% resulting in €724.4 million. Here, I actually want to point out here a little bit. Yes, economies of sales. We are focusing a lot on lean manufacturing and really optimizing our processes on really squeezing out our factories and creating additional capacity. But what we also need to keep in mind, and we had it on the last quarter call, the chart of the headcount development and the under proportionate increase. If we dissect that a little bit on the bioprocessing side. On the first 9 months, we actually hired 2,100 headcounts. Out of that, 40% roughly for example were direct labor. It's really accreted to the margins. That means that the rest was for the functional expenses. And out of those 2,100 in Q3, we almost hired 900.  My point is here that we're seeing an increase, specifically in Q3 and towards the end of in our cost base, which of course will have an impact going forward. Our cost base will increase, and we are already seeing the first impact. Since all of that happened towards the end of Q3, it's not fully reflected yet in the fourth quarter. But let's please keep that in mind. I'm sure Joachim will refer to that later on when he talks about the guidance. When we look at LPS. Here, very nice performance against moderate prior year comps. So let's start again with the order intake, which amounted to €553.2 million, increase of 38.3%. Acquisitions here played around 7 percentage points. The corona impact was roughly as well, 7 percentage points. So the organic growth was 25, very happy to see that and was of course fueled also by the good momentum that we have with our bioanalytical instrument portfolio. On the sales side, we basically increased revenues by almost 41% in constant currencies to €540 million. M&A contributed 9 percentage points. Corona as on the order intake side, around 7 percentage points. So a solid organic growth of 25%. And here we see order intake translates fairly quickly as always into the revenue. Underlying EBITDA was €141 million or almost €142 million, an increase of 81.4%. Very happy translated into a margin of 26.3%. Of course here, one impact the economies of scale that we have, but also really a favorable product mix on the BioA side. And also on this side, but not as extreme as on the bioprocessing still an under-proportionate cost development in the functional areas and here also on the sales and distribution side. If we come to the next slide and look at some financial key performance indicators. Of course, driven by the strong group underlying EBITDA of €866 million. And that translated in a very solid operating cash flow of €635.6 million, increase of 67% despite the continuation of the increase of our working capital. Extraordinary items, we actually could decrease compared to previous years. You know here, we basically only show some corporate activities mainly driven by M&A. The financial result, I just want to point out of course, comprised as classical interest expense. But in this case, since the acquisition of BIA Separations. Of course, we have also a certain volatility regarding the valuation of the earnout liability that attributed roughly here €55 million. Underlying net profit is strong, showing at €406.9 million, increase of 92.7% and reported a net profit almost doubled to €295.4 million. Investing cash flow here, you see running -- reached €392.6 million. Of course, it does not translate to the CapEx ratio below, which is 9.6%. In the investing cash flow, we are showing also the 2 acquisitions, CellGenix which we basically made closed right early in July; and Xell, which Joachim is going to talk about a little later as well in the third quarter. There, we basically roughly spent together €150 million. If we're looking at the next slide. Standard quickly going over the equity ratio at 30.2% at a very solid level. Nevertheless, let's keep in mind here that actually compared to previous year, we increased our balance sheet by €1 billion. Roughly 50% is attributed to increase of inventory and receivables as well as a lot or a substantial cash balance that we're showing in Q3. And of course, the other half is related to the assets of the acquisitions that we got on board. So therefore, still of course strong equity ratio, but also with a quite substantial increase of our balance sheet sum.  Strong net cash flow of course, allowed us to pay down some debt compared to the end of last year, €110 million less. So it's at €1.78 billion, which translates on an indebtedness ratio of 1.6, which I'm very happy to see going forward.  And with that, I'll pass back to Joachim.
Joachim Kreuzburg: Thank you, Rainer. Yeah, I now would like to briefly talk about the acquisition of Xell, which we have closed end of July this year. It's a company that is specialized on cell culture media, certain supplements also to cell culture media. Very much media that is of particular use and differentiation in an area of viral vector manufacturing. Viral vectors as you know, are one technology platform for the production of certain vaccines, but also for gene therapies very much. So that's one aspect. Why this is very complementary to our portfolio and also strategic relevance. And the other one is that this helps us to accelerate the establishment of a global manufacturing platform. I'm sure you are aware of the fact that we acquired Biological Industries based in Israel. A while ago, we back then announced that we would start a significant investment into an own manufacturing capacity for cell culture media for North America based in our facility in Yauco, Puerto Rico which is one of our ongoing investments at the moment. And because of the fact that Xell has just taken into operation a really state-of-the-art facility in Bielefeld in Germany, with quite some idle capacity, which represents a great base also for further growth. This is really a great fit also in that regard.  Again, as I said, closed in July. Limited revenue so far, around €5 million for 2021, very profitable. And therefore, we believe a really great and complementary addition. I now would like to talk about the forecast for 2021. As said at the beginning, we confirm the outlook that we have raised substantially 3 months ago. What it basically says in other words, is that we expect the fourth quarter pretty much on the same level as the third quarter. And that holds through pretty much for both divisions. And then translated into growth numbers, we expect approximately a 50% top-line growth for Bioprocess Solutions and 30% approximately for lab products and services. We see the contribution from acquisitions to be around 4 percentage points for BPS and 6 percentage points for LPS. These numbers are slightly lower than those after 9 months, simply because of the timing. Because we had 4 months in 2019 where this hasn't the main part of this acquired business, which is the businesses that we acquired from Danaher haven't been consolidated. So this proportion simply becomes a little bit diluted, so to say, mathematically diluted.  And then you can also see that the corona demand-driven contribution we expect also to be slightly below the number after 9 months, which basically has to do with the base effect. Q4 last year already was a strong quarter. So again, pretty much maybe more a mathematical aspect. And therefore, maybe the perspective to take is Q4 pretty much to be expected around the number of Q3. Then the translation into profitability is 26% for LPS and 36% for BPS. Reiner touched upon that topic earlier regarding the -- in the end, a timing effect in regards to the buildup of certain costs. And then, of course, the fact that travel expenses et cetera, are just about to rise again. And I'm sure you are having same discussions, getting same presentations from many companies in these days.  I don't want to repeat the numbers that Rainer already shared with you regarding headcount. It's really significant, particularly now in the manufacturing areas as we said that we would execute on. And yes, that is what is happening pretty much in line with what we are planning. For the group, that translates into approximately 45% top-line growth, for the full year and 34% underlying EBITDA margin. CapEx ratio expected to come in around the 12%. Net debt to underlying EBITDA slightly below 2. So no change here as well. And then I also would like to briefly walk you through the respective results for Sartorius Stedim Biotech. Again of course, very much mirroring the results of the Bioprocess Solutions division. And Rainer has made quite some extensive comments on that. So sales revenue came in at a good €2.1 billion for the first 9 months, an increase of 56% in constant currencies. Order intake, €2.85 billion, an increase of 78% in constant currency. Over proportional of our underlying EBITDA and therefore, a margin expansion of almost 5 percentage points to 36.3% and even stronger over proportionate increase of our underlying earnings per share, which are at €5.52 for the first 3 months.  Then the composition of the top-line growth, you can see in the first bullet point below the table, 24 percentage. Points pandemic-related acquisitions, around 5 percentage points. Order intake, slightly lower for pandemic, slightly higher for M&A-related and then of course again delay in cost development that has influenced our EBITDA margin. The geographical distribution of our growth and top-line development reflects very much what has been said before. So the fact that EMEA is the strongest growing region has to do with the old proportionate manufacturing output in Europe for vaccines or the proportionate location of such sites. Both originators as well as the CDMOs for sure. So that has an influence there. And the rest, I think, we talked about already.  Operating cash flow, the same effects regarding the valuation of earn-out elements. For example, Rainer referred to that have a result on the financial results. We have been very extensive in explaining that in our calls before. And I'm sure we'll be giving comments on that particularly on our annual calls, but whenever there is something to dive deeper. And then, of course, strong driver by the operating cash flow for sure. And on the next page, the financial indicators. The fact that we made acquisitions that we are executing on an extensive capacity expansion program. Still goes along with a reduction of our net debt and a reduction of our net debt to underlying EBITDA because of the strong net cash flow and the strong profit development, so a very solid position here.  Of course, also for saturated in biotech, we confirm the forecast for the full year, which has been raised in July. So we expect 48% of top-line growth approximately or again, we expect very much a fourth quarter to come in on the same level as the third quarter. EBITDA margin, we expect at 36%. And maybe as I just see it, and sorry for that at least on my print out. I think we mixed the numbers for growth by acquisitions and corona demand. It's -- okay, it has been corrected. So sorry for that. So 4 percentage points and 20 percentage points respectively, CapEx, 12%; and net debt to underlying EBITDA slightly below 0.5%. So -- and with that, I think we have walked you through all of our slides. And we will be happy to receive your questions now.
Operator: Ladies and gentlemen, at this time, we will begin the question-and-answer session.  The first question is from the line of Michael Leuchten from UBS. Please go ahead.
Michael Leuchten : Thank you very much. 2 questions, please. One, thank you for the detail comment on the guidance and the implications for Q4. The one variable that doesn't quite seem to sit is the order intake relative to your outline on sales in Q4. I understand what you're saying about the EBIT and the OpEx. So why would that order book not translate into a stronger fourth quarter? Is that capacity related? Are you talking a little bit more of a range? Have you got some buffer in that? So that variable, if you could try to explain that that would be great. And then related to that, the second question if you can. Obviously, one of the questions we all try to get our head around is what's the COVID-related demand into 2022? So as you're looking at your order intake at this point in time, can you comment at all how you think about the tailwind that may be left for 2022? Are you able to comment is it too early? If it is too early, at what point would you think you'd be able to have a view on how long we will see COVID revenues be meaningful? Thank you. 
Joachim Kreuzburg : Yeah. Thank you very much for these 2 questions. So yeah, I can absolutely understand your question regarding order intake. So one key aspect here indeed is what we -- I think, pointed out in our previous calls that we have seen this change in ordering pattern by customers. So our customers have placed quite a good portion of orders further ahead in time than they have done before.  Therefore, the reason why we expect the fourth quarter pretty much at the same level like the third quarter has to do very much also with the delivery occasions by our customers. Of course, there are in these days, still certain capacity limitations. And I think that holds true for all the industry, including its supplier base. It's not just, for example the capacity constraints that we might have in some areas. But also of course, when it comes to certain raw materials or -- and I think we talked about that last time, sterilization capacities, for example, are somewhat constrained in these days and so on.  But that is not so much of a problem. So we do not see any customer of ours who have to delay manufacturing campaigns or so because of that. And we should also not forget that we are now I think pretty much already at least preliminary at like peak output of the vaccine manufacturers, which is different to 3 and 6 months ago, where they are still working very hard on ramping up their outputs.  So I would say -- as I said, without not mentioning certain constraints also stress and on the supply chain, but it's very much in line with delivery expectations. And then, of course, this is already the bridge to your second question. Because you rightly say, when will you reduce your order book? I mean an order book always cost has to be seen in relation to the overall business volume. And an order book that we have today has to -- as seen within the perspective of a significantly higher sales revenue level than two years ago only  So therefore, I think we should not forget that perspective. But nevertheless, we would expect indeed that in the course of 2022, we already will see a good portion of normalization. What exactly that might mean, to be honest, that's really difficult. As you anticipated it when you said, okay, and how far we will be able to answer that.  So the scenario that we believe is quite likely maybe from today's perspective is that we will see approximately the same level of business, particularly related to vaccine manufacturing, which is by far the largest part of pandemic-related business that we have today in 2022 like in 2021. And that, of course is to quite some extent based on the agreements that have been closed between vaccine manufacturers and the government of several countries.  And then, of course, behind that very often are certain vaccination suggestions and approvals. And then of course, one thing that is still very much a moving -- not target, but the moving and changing situation is those parts of the population for which boosted shots are suggested. We see that now moving down the age pyramid, and that will have an effect for sure like other variables will have also an effect. So that's very much what we believe is probably the best assumption, the best framework for a projection into next year.  Please don't translate this now one to one into a guidance for 2022. We will be trying to do our best and give much more visibility and a range for our growth expectation for 2020 to when we publish ordinary results for 2021, which will be the case end of January next year. But as you are asking for this bucket, which is pandemic-related, then this would be our current thinking.
Michael Leuchten : Thank you. Very helpful.
Operator: The next question is from the line of Paul Knight from KeyBanc Capital Markets. Please go ahead.
Paul Knight : Hi, Joachim. A couple of questions. Number one, what size will the media business be in a run-rate in 2022?  And then secondly, as you look at industry production expansion from your customers, when do you think we reach adequate supply or you worry about industry capacity? Is it '23, '24, '25? If you could talk to those two issues, appreciate it?
Joachim Kreuzburg : Paul, could you help me in understanding the second question a little bit better? What do you mean by capacity investments of our customers and with the aspect that we might be worrying about?
Paul Knight : Yeah. Contract manufacturers are significantly expanding capacity that doesn't really come online for until '23, '24. Is it possible to say there's a higher risk of overcapacity and manufacturing in '24? Or can you even guess on that possibility?
Joachim Kreuzburg : Okay. I think we have seen a lot of capacity expansions taking place also during the pandemic, I would say. And as far as we see our capacity expansions that have been made by contract manufacturers for example, but also by others. Given the fact that we are talking about single-use technologies, to a large extent, they are flexible to some degree.  So I wouldn't expect any capacity constraint or anything like that within the next couple of years. Wouldn't see any reason in regards to, let's say, the installed infrastructure. Again, I believe that a full normalization also in regards to a certain relaxation of supply chains probably, I would say that might take another year or so. But that's a different topic. That's not the installed capacity or anything like that. It's really more the aspect that I tried to elaborate on a minute ago already. And for the media business in 2022, we expect that to grow into something close to €100 million.
Paul Knight : Okay. Thank you.
Operator: The next question is from the line of Daniel Wendorff from ODDO BHF. Please go ahead.
Daniel Wendorff : Good afternoon. And thanks for taking my questions. And maybe one follow-up question on the questions before. So when you think of equipment orders going into 2022-2023 and assuming that eventually, the pandemic will be over, maybe after the winter season in the Northern Hemisphere. How should we think about this going forward? So do you see any changes there given the installed equipment base? And that would be my first question. And maybe a bigger picture question. When you think of the current logistics problems around supply chains globally, which has also help your business according to my understanding. Now for you as an ordering company for components and material, has this had any impact? Or do you see any risks there for your business over the next 3 to 6 months? That would be my second question. And my last question. You touched upon this in your presentation, the margin development over the next few quarters also in light of your hiring policy and your plans for hiring people over the course of the next 3 to 12 months. How should we think about margin development, not just for Q4, but also beyond? So is that sort of at one point in time, a steeper decline? Or is that really a gradual flattening out?  And maybe given the changed composition of revenues now, is there a margin level you think will not be surpassed to the downside anymore? Thank you.
Joachim Kreuzburg : Yeah. Thank you for these 3 questions. So we would see and expect when we look on 2022 and 2023 regarding maybe the mix of equipment and consumables to single-use business, if I got your first question right. Then we would expect a certain shift towards single use.  When we take just the vaccine manufacturing. Of course, there has been also a little bit more equipment business at the beginning, while capacities have been installed, then also the ramp-up has been having some impact on that. And then when it is about a continuous operation in such facilities then of course, there's less of the equipment business.  But as you might have seen over the last years with Sartorius, the change of equipment business versus our consumables business isn't that significant year-on-year. Simply because we still see a very substantial underlying growth in our markets and therefore, a continuous underlying need for additional capacities. Of course, there are always certain fluctuations. We have seen that in the past. It's never a straight line, but we wouldn't see any fundamental change here. And that is also why we don't report this number quarter-on-quarter. Because it would really draw the attention on a wrong or from a wrong angle on our business. So long story short, within the vaccine manufacturing arena a bit more towards consumables overall, no big change.  Logistics and what that might mean for us? So I think clearly, it's also a challenge in our industry. We are luckily not seeing any situations as everybody is aware of in the car industry, for instance, where entire sites are closed for two weeks or something like that because of the shortage of microchips. This is not the case for us. But it's a challenge. And sometimes, it's certain raw material for example, certain plastic resins, then the sterilization capacities are a topic that is also partially known in the broad public domain. And therefore, can we exclude that this will remain a certain stress factor going forward? No. Are we optimistic that we will continuously being able to manage it as we have been during the last couple of months? Yes. But I would definitely say -- as I think I said a minute ago already, we believe that this normalization will easily need another 4-5 quarters. So until end of 2022 would be our best guess so far. Margins. So we will give a guidance for 2022 beginning of next year. So end of January, most likely. So then we can talk about that a little bit more in a tangible way. But as you were asking for, will there be a decline? Will it rather be fattening out? So it will be rather a flattening out scenario. Because the fundamental aspect of our business is that we have very healthy economies of scale, very healthy incremental gross margins. And of course, in a scenario as we are in at the moment, where a good portion of our capacities are under full utilization then the incremental margins are not that high. Once we have fully executed our capacity expansions, and we can then rather use certain free capacities for further growth. Then, of course this looks a little bit differently again. So therefore, we believe that even though we are building up our workforce very significantly at the moment, there is no fundamental change in regards to our business model. And what we should really keep in mind, what we are talking about is that we are running significantly ahead of schedule in regards to our margin development.  And now we are running ahead and we might see a flattening out there. But please, the right baseline is what would have been the development in a more normal, i.e., without Corona base scenario. And so long story short, no change here in regards to I would say, the mechanisms of our business model.
Daniel Wendorff : Yeah. Thank you. Helpful.
Operator: The next question is from the line of Richard Vosser from JPMorgan. Please go ahead. 
Richard Vosser : Thanks for taking my questions. A couple, please. Just overset an action. I want to get an update on the regulatory process, how that's pressing for that transaction?  Second question, just on the COVID-19 contribution in Q3. It seems like that was a sequential decline in your guidance implies an increase to maybe around €200 million for BPS in the fourth quarter. So just -- 
Joachim Kreuzburg : Richard, now we lost you.
Operator: So we will go ahead with the next question. And the next question is from the line of Falko Friedrichs from Deutsche Bank. Please go ahead
Joachim Kreuzburg : Sorry, just one second, Mr. Friedrichs. So as far as we got that. There was 1 question regarding an acquisition that we have announced already quite a while ago. And that is the acquisition of Novasep, where we said that this will be subject of an FTC approval or an FTC approval process, we should say. This process is still ongoing. We would expect a decision before the end of the year. And of course, we will communicate to the market once we know this decision. So far, no news.  And the second question, I don't know whether Paul is still is with us at least that he can listen to us. I think what was missing here, the missing link might be the base effect regarding the fact that we already had some corona-related business in our books in Q4 of last year. So therefore, there is no decline also of that business. Absolutely not the case. It's really, just that the baseline is a different one.  So sorry. I hope that was helpful for whoever was able to listen to that now. So Mr. Frei, sorry for interrupting you.
Falko Friedrichs : No problem. Thank you for taking my questions. I have 3, please. The first one, following up on Daniel's previous question. Just making sure I understood it correctly on the 2022 margin. So you said that you expect a flattening out in '22 from the '21 level. So we're talking about the 34% margin guidance of '21. So you would expect at least a similar level next year. Just making sure I understood that correctly. Then second question on CapEx. You're trending a little bit below your guidance here after 9 months. So should we expect a significant increase now in Q4? Or is it likely that you're shifting some of these investments into the next year? And then the third question, on the bioanalytics business, which you highlighted again in your prepared remarks. Can you just update us on the absolute size of that business by now the growth rates and the profitability level compared to your group margins? Thank you.
Joachim Kreuzburg : Sure. Thanks for these 3 questions. So I shall answer the first one. So, we will give our guidance for full year 2020 in a little bit more than 3months' time. And I would really like to ask you to bear with us until then before we really talk about numbers.  However, what I said when the question was raised before going into a direction of, will we see a decline of margin or rather flattening out? I said that will be rather flattening out. But please again, let's give us the time -- please give us the time for being more precise in that regard. On CapEx. Basically, we have seen also in previous years, depending of course on the specific investments and capacity expansions that we are investing in, that the CapEx ratio and the capital expenditure absolute numbers is showing a bit of peak in the fourth quarter. And we expect the same this year. However, in such larger undertakings, it's sometimes indeed the case that when it comes to the -- because in the end, it's about when is the point in time that it is cash effective. It depends also on when do you receive a certain invoice? When do you approve a certain bid of something that has been built to be finished and quality-wise approved?  So therefore, there might be also a certain shift. But we confirmed our guidance because we believe that this should be pretty much the number that will come in by end of the year. We are seeing for the BioA business a very healthy top-line growth. We believe it should be a bit above the average growth in our LPS division. And we expect that business to account for between €200 million and €250 million for the year 2021.
Falko Friedrichs : Okay. Great. Thank you. And maybe briefly on the profitability level?
Joachim Kreuzburg : Yeah. Sorry, profitability is above average as well as is the growth rate. It's a very profitable business, very healthy gross margins and a good portion of that is hitting via EDA line.
Falko Friedrichs : Excellent. Thank you. 
Operator: The next question is from the line of Hugo Solvet from Exane PNB Paribas. Please go ahead.
Hugo Solvet : Hi, hello. Thanks for taking my questions. I have 3. One brief on in the order intake, especially the organic growth of the intake. Can you maybe share the mix of use of the equipment and products either for cell and gene therapies, be or potentially a marginal part for small molecules? I'm interested to hear more in the evolution of the mix within your under intakes over the past 12-18 months, what has been the trend? Second, on the €10 billion firepower that you highlighted at your recent Capital Market Day. Just curious how should we think about the deployment of those €10 billion and the time lines for it? Should we think about more bolt-on technological deals or more transformative deals that you're thinking about? And last one, on the recent change in control of the part of the family stake in the ordinary voting shares. What signals should we understand from this move? And is there actually a possibility that the testament expected to lapse in 2028 could lapse before that? Thank you.
Joachim Kreuzburg : Yeah. Thank you for the question, Hugo. So order intake, that's honestly a little bit beyond the level of detail that we would like to share pretty much in the public domain at least quantitatively. So what we can say from a qualitative standpoint, maybe to start from the end of the order that you have mentioned, small molecules don't play a very significant role on our end. Of course, you always have some sterile filtration also in such processes, but that's not having a major impact.  And then monoclonal antibodies are still the dominating type of molecules, dominating modality as some people would say. And we believe this will remain being the dominant modality for the next 5 years and probably even beyond. Because it's still growing, and it is so big. And it's still also dominating the pipeline of our customers. So therefore, there is no reason really to assume that this is changing too quickly, even though a lot of people of course, are at the moment talking about mRNA for instance, et cetera. But this is clearly very unlikely that this will be a dominating modality within the next couple of years. However, we do indeed see that cell therapies, gene therapies are showing above-average growth rates. As there are not too many approved drugs out there, it's still the case that of course, such growth rates are also fluctuating very strongly as partially the manufacturing campaigns that customers are even fluctuating. And the investment of such customers are not the same all throughout different quarters or even years. But that's normal for an early phase. But again, qualitatively we see that playing an increasing role. Very much also you can mirror that through our investments that we are making into the space, take beer separations, I talked about Xell today and so on. Firepower. Yeah, we have significant firepower for M&A. We consider ourselves also to be in a position making a more transformative deal, but we have to be realistic. There are not too many opportunities in the industry that are a good fit to our strategy and that's a must. We are not interested in doing something that is just big or so, but not really matching fitting to our strategy. So therefore, it can maybe still rather be maybe a chain of part so to say, than a transformative deal. Let's see. And the fact that we communicated on the change of the internal composition of the joint airship, had to do with the fact that we had to communicate that simply because of any a significant change within a so significant shareholder has to be communicated to the market. First of all, by the parties that are a part of such transaction, but then also the company of which the shares are hold by this shareholder.  But clearly, this transaction will not have any impact on the strategy, the management and how we operate and the direction of the company at all. And this will be the case until mid of 2028. So that has no impact also on how the joint airship works and the role of the executor and whatever. All this remains completely unchanged. It's just a change of the composition within this joint airship.
Hugo Solvet : Thank you very much.
Operator:  The next question is from the line of Scott Bardo from Berenberg. Please go ahead.
Scott Bardo : Yeah. Thanks so much for taking my questions, gentlemen. So first question please, just a clarification on some of your comments about the fourth quarter, where I think you said you're expecting a similar number in Q4 to Q3. And maybe there's a problem with the Berenberg calculator, but if you delivered that number sort of this 9-8 number or so. It seems to me that that's 5%-6% ahead of your current 45% constant currency guidance or put the other way that to meet your guidance, I think implies €100 million or so sequential reduction in revenue. So I just wanted to make sure I understood the messaging around the delivery this year, please. The second question. I very much appreciate your comments on COVID demand. I appreciate uncertain and any clarity here, appreciated. But again, if one assumes then that this say, €500 million of COVID contribution that I think you called out last quarter by and large persists into next year. And if one assumes that the underlying trend for bioprocess hasn't really changed and one would argue that your order book is supportive of that. Am I right in suggesting that indeed next year, we could be in, again a low-teens type bioprocess growth scenario for Sartorius?  So I wonder if you could at least help me sort of pick away at the logic of that statement. That would be helpful. And I guess last and final linked question. Obviously, Dr. Kreuzburg brings some phenomenal years for Sartorius. And of course, you've raised guidance on several occasions. What is it that you need to see to increase your midterm guidance further, given that your order dynamic growth and margin are all currently tracking ahead of that trajectory? Thank you.
Joachim Kreuzburg : Sure. Thanks, Scott. So I would say that if Q4 indeed comes in on the same level as Q3, we might see -- or then we would see growth numbers a little bit higher than for instance, the 50% for BPS. But we will not see 5 to 6 percentage points on the group's level. There will be a little less than that. So -- I mean, we say approx 50% for BPS, we say approx 45% for the group. We say approx 30% for LPS. So we think we are well on track to achieve that. We might achieve it slightly. But what I clearly would like also to point out here is 00 and we touched upon that earlier when the question was, what will be the driver? And I said, the main driver is the delivery expectation by our customers. And when a customer says, I need that best on the January 10, then we won't drop it in front of his door on the December 30, just to make the numbers or whatever. So we will see that how that exactly will play out towards the end of the year. I think we gave a lot of visibility through our order intake reporting. So I think we are well set to at least achieve the numbers that we have in there. Now you said I should help you in answering the question regarding the low-teens BPS growth rate next year. And I think unfortunately, I can't. I really would like to give that guidance as I said, end of January next year. When I think all of you also will have a base full growth rate, which is the 2021 numbers that we then have been published or will publish on the same day. And I think that's really in the interest of everybody to also avoid any misunderstanding and speculation to handle it that way. Midterm guidance. Scott, that's a good question and a good reminder. I think we said that in July already that we will take a look on our midterm guidance also around these months now when we define the targets for 2022. And we'll make a statement on our midterm outlook as well. And I think you have a point, you said growth -- but margins. And I think maybe margins is more of a topic than growth rate given the very specific significant extraordinary business that we have in there.  And as a reminder for everybody, we said that -- and so far, we would stick to that for 2025 our assumption is -- and I'm not talking about a perfect crystal ball that we have here. We don't have that at all. But our assumption for 2025 is that there will be no corona-related additional business. So that we have to take. Please keep in mind that would be our current thinking. And we will be very transparent when we talk about '25 in January.
Scott Bardo : Thanks for clarity. Thank you very much, indeed.
Operator: We have a follow-up question from Michael Leuchten from UBS. Please go ahead.
Michael Leuchten : Thank you very much for taking my follow up. Just going back to your comment about the capacity not being a constraining factor anymore. I think there's been some debate on whether the COVID pandemic has allowed competition to maybe capture a little bit more share in the earlier customer base, maybe specifically in China. Is it fair to say that as your capacity commentary, you suggested that isn't a squeeze anymore that, that risk is going away? Or is that something that has opened the door and we should keep that in mind as we think about the structure of the industry over the next, I don't know, 5 years or so?
Joachim Kreuzburg : I thought it is an easier to answer question before you said 5 years. Because on the current dynamics, I would say it's rather neutral. Because everybody was facing pretty much the same constraints. We think we were doing quite well, rather above average maybe in our competitive landscape particularly maybe for the first phase of the pandemic in managing our supply chains, ramping up capacities, et cetera.  But overall, I would say it didn't change much of the market shares or so for all the reasons that we know in our industry. And that is what we would see also for the next couple of quarters. Everybody is investing significantly, making sure that sufficient capacities are available going forward. So no big difference between the different plays, I would say, currently.  When you ask for 5 years, Michael, then it becomes really more difficult. Because particularly, as you mentioned, China. Because I mean, we do know the massive global competition between the U.S. and China pretty much in each and every market. And I believe that's a bit too early to make any educated statement on that. That will be a topic that hasn't played much of a role so far. But I would imagine that it plays some role within the next 5 years. But it's really difficult to tell. We have a competitive landscape with players to some extent from the U.S. to some extent, already with some footprint in China and so on and so forth. So we really have to see how that evolves. And I'm sure we'll talk about that also going forward.
Michael Leuchten : Thank you.
Joachim Kreuzburg : I think there is -- as far as we see the tracker here, nobody left in the queue for questions. Let me take the opportunity to again thank you for your interest in Sartorius and Sartorius Stedim Biotech and the questions and the discussions that we could have about that. I hope we were able to answer your questions in a helpful way. We are wishing you all very best. Stay safe. Looking very much forward to talk to you again latest in a little bit more than 3 months from now. Bye-bye.
Rainer Lehmann: Bye, everyone.
Operator: Ladies and gentlemen, the conference has now concluded. And you may disconnect your telephone. Thank you for joining, and have a pleasant day. 